Operator: Ladies and gentlemen, good morning. Let me welcome you to this conference call on the fourth quarter and full year results of 2009 for Philips Electronics. I’m here with Philips President and CEO, Gerard Kleisterlee and our CFO, Pierre-Jean Sivignon, who in a minute will take you through this introductory remarks on the numbers. After this, both Pierre-Jean and Gerard will be happy to take your questions. As usual, our press release and accompanying information slide was published at 7 am this morning. Both documents are now available for download on our Investor Relations website. We will also make a full transcript of this conference call available on the IR website by tomorrow morning at the latest. With that, let me hand over to Pierre Jean to run through the results.
Pierre-Jean Sivignon: Thank you, Stuart. Good morning to you all. Before turning to [you all], I have to say encouraging numbers. Let me start by looking at recent developments in some of our end markets. In healthcare, December saw some considerable progress in US Healthcare although developments as recently as last week show that the timing and indeed the content of final legislation remains uncertain. We expect at least in the short term to see some ongoing headwind in the US order intake, both from the uncertainty around the reform and from weakness in the wider economy. Encouragingly, we saw stronger demand for healthcare markets outside the US, particularly in the emerging economies. In our lighting markets, the fourth quarter saw a continuation of many of the trends that first started in Q3. Demand for both lamps and automotive lighting continued to strengthen across all geographic regions. Our Lumileds business delivered spectacular growth in the quarter, driven by demand in both the OEM consumer and general lighting markets. The market for Professional Luminaires with the exception of Asia remains tough. Despite some from tailwind from governments to these programs in several countries. Signals from leading indicators such as new housing starts and the architect building in the US continue to be mixed and have certainly not moved into growth territory. The early cycle consumer markets are difficult to read at the moment. While Christmas demand was perhaps slightly ahead of our expectations, and we start to see a modest uptick in Consumer [inaudible], personal consumptions remain depressed in many markets. We expect the emerging markets which account for well over a third of our consumer sales to remain strong. Future demand in mature markets, particularly the US, remains less clear. Let me now move to the Philips Group results for the fourth quarter. Comparable sales in Q4 improved for a third consecutive quarter, returning to a level on par with Q4 2008. The rebound in emerging markets where sales were up by 8% and a solid improvement in Western Europe was tempered by weaker albeit sequentially improving sales performance in North America. Looking along the business axis, all free sectors reported comparable sales which were at levels broadly back to in line with Q4 2008. It’s worth pointing out that the 1% comparable sales growth delivered by Consumer Lifestyle is closer to 5% when taking into account our ongoing [practice] portfolio pruning. Reported EBITDA was EUR 662 million or 9.1% of sales is significant improvement on the 0.3% profitability reported for Q4 last year. More impressively, our adjusted EBITDA profitability, that is to say EBITDA excluding incidental gains and charges, reached a record 12.3% in the quarter with a strong year-over-year improvement in all the three business sectors. While much of this improvement came as expected from reductions in our cost base, it also reflects ongoing pricing discipline and the success of our supply team in managing the [bill of] material. Our continued focus on cash delivered free cash flow of EUR 726 million in the quarter. This increases to just over EUR 1.2 billion when excluding the EUR 485 million cash payments related to our asbestos settlements. With that summary, let me now take a closer look at the performance of each of our businesses during Q4 and I will start with Healthcare. Currency-comparable equipment order intake improved for the third quarter in a row, rebounding to 7% growth in the fourth quarter. Equipment orders outside the US which in value terms represent now over 60% for the total intake saw double digit growth, led by the very strong performance in emerging markets. Order intake in the US was showing an improving trend remained 6% below the level of Q4 2008. On a worldwide basis, all modalities reported higher orders in the market during the quarter despite a still soft US market. Sales in healthcare were on a comparable basis just a touch below Q4 last year which was in its sales a good quarter. You’ll remember that in Q4 last year, ‘08 was up 9%. Strong growth in emerging markets largely offset lower sales in the US while sales in Western Europe were broadly in line with 2008. Emerging market sales as a percentage of total healthcare increased from 19% in the fourth quarter of last year 2008 to 22% in the current quarter of 2009. Looking at business, sales growth at home healthcare solutions and customer services was offset by lower sales of imaging systems and patient monitoring. Reported fourth quarter EBITDA of healthcare was EUR 452 million or 18.8% of sales compared to EUR 343 million or 13.4% of sales in the same period of 2008. Excluding restructuring and acquisition related charges, EBITDA increased to a record 20% of sales, an increase of around 3.5 percentage points on last year. We saw higher EBITDA across all businesses, notably imaging systems driven by both lower cost levels and a higher earning contribution from customer service and home healthcare, both of which continue to grow in the mix. Consumer lifestyle sales grew by 1% in the period, ending consecutive quarters of sales decline. The highest sales were driven by television, health and wellness, shaving and beauty, and domestic appliances. We saw a significant improvement in sales to mature markets, notably Western Europe, and to emerging markets where growth was driven by double digit sales increases in the [brick] countries. The EBITDA margin of consumer lifestyle improved to 9.2% of sales compared to a loss of 1.2% in the fourth quarter of 2008. Excluding restructuring charges, the adjusted profitability of the sector reached 11.4% in the quarter. Television delivered a profitable quarter on the back of both lower cost and higher sales. Encouragingly, the much larger non-television lifestyle portfolio which includes, audio/video and peripherals, also reported significantly better results with an adjusted EBITDA of 16.3% in the quarter, up from 8.4% last year for the same quarter. Almost all businesses reported higher EBITDA. At lighting, comparable sales were back in line with the level of Q4 ’08. Sequentially the 13% improvement in sales was driven by Europe and the emerging markets which returned to growth in the quarter. Sales in China were particularly strong. North America, on the other hand, remained depressed. Looking to business, the sequential improvement in comparable sales was led by lamps, automotive, and not least, Lumileds, which show sales [of right] by over 60% on the back of increased demand for both consumer OEM and general lighting products. Sales of Professional Luminaires, despite a small sequential improvement, remain depressed ahead of an eventual recovery in commercial construction. The reported EBITDA at lighting was a profit of EUR 8 million, or 4.4% of sales. Excluding restructuring and acquisition related charges, the adjusted profitability increased to EUR 185 million or 10% of sales ahead of the 7.4% of Q3 this year and 5.7% of Q4 last year. Year-over-year, largely cost driven improvements in adjusted profitability was visible across almost all lighting businesses, notably lamps and automotive lighting. EBITDA of GM&S excluding the largely offset in incidentals and charges detailed in today’s press release improved by around EUR 30 million compared to Q4 2008. We remain committed to bringing the underlying results of the GM&S sector to a level of EUR 30 million in 2010, an improvement of around EUR 100 million compared to the full year 2009. Year-over-year, our reported net income improved substantially from the loss of almost EUR 1.2 billion in Q4 ’08 with a profit of EUR 260 million in the current quarter. Adjusted for gains and charges, net income increased by just over EUR 0.5 billion compared to the equivalent figure for the fourth quarter of 2008. Let me now move to cash and the balance sheet. I’m glad to say that we again managed to deliver a very [inaudible] cash inflow of EUR 935 million from our operating activities in the quarter. Adjusted for the planned payments of a net EUR 485 million asbestos related settlements, cash from operations increased to EUR 1.42 billion in the quarter. Compared to the equivalent figure for Q4 ’08 of EUR 1.76 billion, higher income and lower Cap Ex were offset by lower [inaudible] of working capital. The incremental cash generated from working capital was lower than Q4 last year as a result of a successful reduction in the absolute value of working capital during the first three quarters of the year. I’m glad to report that the working capital parameters expressed in days of sales, inventories, and payables, continue to improve. I am pleased also with the further strengthening of our liquidity position during the quarter. Our cash balance increased from EUR 3.7 billion to EUR 4.4 billion at year end, driven by the free cash inflow of over EUR 700 million. Ladies and gentlemen, now let me sum up. Overall, I can only say that we were very pleased by our Q4 performance which in many respects came in somewhat better than we expected and which allowed us to deliver full year adjusted EBITDA profitability of 6.4%, half a percentage point above the one of 2008. We clearly see the benefit of a simpler portfolio which has undoubtedly become much more balanced from both a product and a geographic perspective. I am also pleased with the further progress we made in managing our costs, particularly the structural savings and fixed costs which compare to the 2008 base line where over EUR 400 million this year lower and which we expect to be well over EUR 700 million lower in 2010. This alone will deliver a year-over-year EBITDA improvement of around 1.5 percentage points, giving us confidence that 2010 certainly looks to be another year of progress towards our profitability target of 10% or better. Despite this good progress inside the company, reaching our growth and profitability objectives ultimately depends on developments in our end markets. Here we remain more cautious despite somewhat better visibility for demand in the short term. There are certainly growth opportunities ahead including emerging markets, more clarity around US healthcare reform, and when it comes, an improvement in the commercial construction sector. There are, however, potential headwinds, not least around the eventual withdrawal of support measures put in place by many countries at the [height] of the downturn to support economic activity. Nevertheless, as a sign of our confidence in our future, we propose to maintain our dividend despite a high buy out at EUR 70 cents per share, on par with last year with an eye on maintaining our financial prudence, we will offer our shareholders a choice between cash or stock. With that, let me now open the line to your questions with Gerard Kleisterlee and myself will be happy to answer.
Operator:  Your first question comes from Andreas Willi – JP Morgan.
Andreas Willi – JP Morgan: My two questions are first, on healthcare, on your order intake, if you could comment a bit on the US? GE had a very strong quarter with about 9% growth in orders year-over-year. Yours was still down. Is that due to different comparables or are you aware that you’re losing share in the US or just different definitions between the two companies? The second question I have on the restructuring, mainly in regard to restructuring in lighting in 2010. Is that continued reduction of all the lighting technologies or maybe you can give us some more information on where you take the additional costs out in lighting and why.
Gerard Kleisterlee: I think the answer on the incoming orders, it’s pretty typical always to compare with GE for two reasons, A) because I think their numbers include services, B) I’m not sure they are currency corrected. Our numbers basically are, as I’ve mentioned, 7% up corrected for currency and on equipment only, and as far as the US is concerned, it’s 6% down calculated with the same method. We don’t have the feeling certainly that we’re losing market share. If anything, we think that all in all across the geographies for the year, we believe that we are gaining a touch of market share. I think it’s probably the different perception that we have, and I cannot comment much more given the visibility that I currently have on the GE numbers.
Pierre-Jean Sivignon: As far as the lighting numbers are concerned, and as far as restructuring is concerned, yes, you heard correctly, we have gone down in restructuring from 500 plus in ’08 to 400 plus in ’09 and the guidance for 2010 is [inaudible] of 150 to 250. It’s essentially going to be in lighting the way we see it, and it’s essentially going to be on the back of indeed technology transition and you’ve seen as well that in the press release we don’t plan to [inaudible] the amount [heating] the first quarters, so those plans are currently being finalized.
Operator: Your next question comes from Simon Smith – Credit Suisse.
Simon Smith – Credit Suisse: Good morning, thank you. I had two questions. The first was in terms of your guidance. I guess it’s been an expectation of your reinstating the Vision 2010 targets maybe with a definite time frame. Looking at your outlook statement with comments of [inaudible] 10 cent margin or better and talking about making major progress in 2010, I guess you’ve gone pretty close to that. But I just wondered if you could maybe give us some of the pros and cons you saw with regard to reinstating that guidance and maybe what led you to where the statement as you had. Second question would be really with regard to healthcare. I guess we’ve been looking at you progressively taking healthcare business and reducing the seasonality of it. I guess this year was such a strange year that seasonality has been sort of blown away by general sort of extreme events in various quarters, but in terms of how we should think about your very strong margins in this quarter, what should we think about as to on a sort of ongoing basis how that should translate into say an annual margin for 2010. Should it be less than the seasonality we’ve seen traditionally or maybe slightly more?
Gerard Kleisterlee: Let me try to answer those three. Pros and cons of guidance, I think the approach was to let the numbers speak for themselves. I think that’s probably the best answer. We’ve given you a lot of transparency on the way we performed in ’09. You can measure the progress being made quarter by quarter as reported an adjusted basis for each of the sectors. You have full details on the reduction of the fixed cost base. I think you can see the strong performance of Q4, so I think that clearly speaks about the momentum which is in motion in the [county] right now. If you look at the year 2010, we’ve actually split the incremental fixed cost reduction which will start kicking in in the first quarter of 2010 still versus that fixed cost base of 2008 so you can factor that in. So all in all I think we’ve let the numbers speak for themselves. So those are the clear points that you can read. The commitment on the 10 plus is there. I think it’s been reinstated. Now why is it that there is not a firm date being put in the document? I think it was an introduction of [inaudible]. I think the early visibility of 2010 is positive. I think there should be a bit of a hollow effect of the latter part of the year, 2009, but the year remains obviously with quite a number of uncertainties and I have described them I think, they’re related to the government incentives in the various stimulus packages which have been put in place down there. The consumer sentiment remains something which is difficult to read. Certainly emerging markets we think that at least from what we understand will continue to be there. Europe seems to have stabilized but US as you can see was still not very encouraging so all in all the uncertainty there beyond the very short term and finally obviously on lighting, we have a few certainly one growth engine which is hard to read on when it will come back up which is the Professional Luminaires driver. It’s not there, if anything you can see that we were still significantly down in Prof Lum with exception of one region which has started bouncing back which is Asia, but Prof Lum on the back of new construction still hasn’t stabilized and that is something that is hard to call. [It is certain] in the US right now, I’m not saying very, very, I would say explicit news on the restarting of that popular sector. So this is a full answer. So all in all I think we’ve decided to let the numbers speak. I think that’s probably the best summary. On healthcare, [inaudible] of course is something we will continue to try to do. I would say that in 2009 the seasonality was magnified by the very low Q1 margin we had in the first quarter but you have to remember that the first quarter had been impacted by a certain number of [one ups] in particular on the foreign exchange which have magnified the spread that there is between the first quarter and the fourth quarter. The fact of the matter is that at Philips, our revenue of the fourth quarter has been higher than the other three quarters and that would be the best way to try I would say to almost generalize will be better than margin between the quarters. We would like to do that as much as we can but it’s not easy to realize. So the answer is you will probably see next year not such a wide spread between the four quarters but you should expect that the fourth quarter, assuming a strong volume quarter, you should still expect the fourth quarter margin to be ahead of the other three.
Operator: Your next question comes from [David Ascamala – IBS].
[David Ascamala – IBS]: I’d just like to talk about lighting on [Twillerman’s]. First of all, can you talk about the products that are driving the consumer oriented option in [ADD]s, if it’s I think like smart phones, LCD TVs, and if there are any other drivers? Also related to that, if you could talk about this 10% threshold that you’ve reached for ADD base light products within your mix, how you see that progressing throughout ’10 and how margins could be impacted by that.
Gerard Kleisterlee: So it’s very much a LED related question in lighting. I think, yes, the first point, and I think we mentioned it or LED related sales were in excess of 10% and that was indeed the [inaudible] by the way components and Luminaires and I would say I think it’s about half-half between the two. So obviously the LED Luminaire parts is very much related to the general illumination business, it’s nothing to do with components. Where you do have components, it’s in the part which is the Lumiled related revenue and in there I would say it’s increasingly general illumination. This is a territory in which we had said that we would now focus Luminaire. We are starting to make some pretty good progress there and this is what is explaining a good chunk of the increase of the Luminaire revenue. So yes, there is in Luminaire good success on the OEM applications which you have referred to, but I would say that the growth in the mix of our LED related business in that fourth quarter is very much related to the increased presence of our LED portfolio into general illumination.
[David Ascamala – IBS]: How do you see those ADD base products impacting your margins?
Gerard Kleisterlee: We don’t disclose as you know margin by products, but I will do it as an exception by talking about the margin of Lumiled because that is part of the portfolio which reporting is separately identified. I think we disclose on the call the spectacular growth of Lumiled. I think the number mentioned was 66%. What I can tell you is that in terms of margin, the Lumiled improved quite significantly and [inaudible] an adjusted margin in the high teens for the quarter.
Operator: Your next question comes from Gaël de Bray - Société Générale.
Gaël de Bray - Société Générale: I’ve got a few questions please related to the lighting but also to the consumer lifestyle division. Firstly, in lighting, could you maybe just elaborate a bit more on the competitive landscape for LEDs? Have you seen new players entering the market lately or do you expect new players to do so in the coming quarters or in the coming years? How do you see pricing developing in this segment in the near future? Maybe also could you give us an idea of the current profitability level for your Professional Luminaires business, maybe in the US? Some questions also on the consumer lifestyle division, particularly about TVs. Of the EUR 54 million restructuring booked in Q4, how much was related to the TV business please, and do you expect to take additional charges related to the discontinuation of the [CLT] TV business. Maybe do you think that the cost structure today is adequate to achieve break even in 2010 even if the LCD TV market is flattish this year? Maybe a final one, could you maybe just explain about the particularly high tax rate in Q4?
Gerard Kleisterlee: I will do my best. This is a lot. I’ll start with LED. Are there new entrants? Of course there are. There will continue to be so and as you know like in every technology coming up, when we count the beans when the market matures, it will be then obviously a few worldwide players emerging and they will be the winners. But are we in the phase where we see new people coming in on the component side? Yes. I think on the high end territory which is very much where Lumiled can beat there that’s the case because that particular technology is obviously difficult, requires IP and a lot of investments, but I would say all in all in LEDs, we’ll see increasingly obviously some new players. Again I’m talking components specifically. In terms of pricing, while it’s too early to say, right now the prices are usually obviously a little bit hard to read. The categories are obviously not well established. What I can say is that on the [inaudible] territory where we are present which is high in LED in the domain of Lumileds, there the pricing is strong if anything I would say getting stronger. So that’s on LEDs. Your second question was related to the profitability of Luminaires and you mentioned Professional Luminaires, where of course there as you see we were at the mid-teens and we got this territory for the quarters. This is a business which has not stabilized, so the profitability there was positive but we expect that profitability to be restored on the back of the uptick which is expected in [inaudible] activities. So there profitability would be mid single digits to give you an idea. Mid single to high single digits for profitability. The next question was on lifestyle for television. The restructuring for television in the quarter was minimal. It was a few million so the vast majority of the restructuring in Q4 in lifestyle was non-television related. Your following question was do we feel that we will need or we might need further restructuring in television. That is a decision we have not made. We cannot exclude it. Television did make money as reported and as disclosed in the fourth quarter as expected and we’ll have to see if we need restructuring, but if we were to need restructuring in 2010, it definitely would not be of the magnitude that has been I would say located to that particular product category in the past. Tax rate, thank you for asking this question. It’s a very important one and totally relevant to this fourth quarter. Before I talk about the fourth quarter, let me first talk about the tax rate for Philips for the year. If you exclude the incidentals, the effective tax rate of Philips for the year was 23% and it was a little bit higher than was certainly expected in that fourth quarter because some of the taxable income of the year and deduct [materializing in charge] of being identified late in the year which explains why the fourth quarter was higher than expected in the consensus. But for the year, if you’ll recalculate each year, we have actually a very strong performance of 23% and I wouldn’t want you to use that for future guidance when you do your model. I think even though we constantly work on that effective tax rate, I think the bracket to be used if I look at the [pot] for you for next year is more in the 27% to 29% territory for the year 2010.
Operator: Your next question comes from Scott Babka - Morgan Stanley.
Scott Babka - Morgan Stanley: First, can you talk a bit about priorities for cash deployment. The company has suspended its buy back. Do you see any preference for bringing that back on or is there a pipeline of acquisitions to pursue? Is there a target leverage that you think you’d want to see Philips at by the end of 2010 or 2011? Finally, just a little bit more on lighting. Clearly the sequential improvement was dramatic. Do you have any sense in terms of what proportion could have come from a restocking at the distributor or customer base relative to your true outlook or return and demand?
Pierre-Jean Sivignon: Cash and the priority for cash – I think the priority for the balance sheet has been, as you’ve seen, all along because this crisis has been full of surprises, it has been to keep a conservative usually approach to balance sheet and liquidity and in terms of leverage, rather than answering leverage, govern by essentially an ability to keep our rating. We were put under negative outlook as you probably remember somewhere, and we still are technically under negative watch for one of the two rating institutions and our objective has been and will continue to be in this difficult cycle to remain there. So that’s the first and foremost guiding principal. Now if we look at the second guiding principal is the dividend. I think we have announced this morning which I think will be a bit of news for you that we will recommend to shareholders or we will propose to shareholders to maintain the dividend at 70 cents. This is of course, if you do the math, yet another year of exceptional payout ratio. You remember that what we paid last year was in excess of 80% which of course is well above our 40% to 50% of policy. If you do the math for this year on the back of the activity of ’09, you will calculate a payout which is in excess of 120% so this is obviously quite a big commitment to the shareholders but we decided to go for it as a sign of course of confidence in our future and as an illustration of the fact that we put dividends very much on top of the list. The only caveat there is at the same time to illustrate obviously that we keep an eye on financial prudence. We will offer it and let the shareholder decide if they want it in cash or in stock. Now beyond that, we don’t think we will do buyback in 2010 given the uncertainty of the economies there and in terms of M&A, you’ve seen us in 2009, we’ve been opportunistic. There hasn’t been anything big but we’ve got actually quite a few small and one medium acquisition, namely Saeco, because we believe that this popular Saeco will keep on reserving some surprises and could actually make a few opportunities available here and there. Moving to your question on the progress made at lighting and how much could there be coming from a restocking in the trade, I think as we discussed on previous calls, we track carefully. We’ve put sensors in the channels and we basically track the difference between selling in and selling out and what we find is that those sensors are telling us that the selling in and the selling out are really pretty much [bagged]. So that is to say that what we saw in terms of selling in to the channels is very much a representation of what those channels have sold. So we do not get the feeling that the strong end of the year in lighting as you mentioned was linked to restocking. We feel that this is a representation of what the popular channels have been selling and in the case of lighting, again, you should keep in mind that GLS [band] is now covering the high wattage but it’s covering as well all the particular lamps with the type of glass which is called – I can’t remember the exact name of it but just keep in mind that today when you combine wattage and type of lamps, up to 50% of GLS is currently being band.
Operator: Your next question comes from [Crystal Mones] – UBS.
[Crystal Mones] - UBS: I have two questions please. The first one is on healthcare again. I was quite surprised by the top line in Q4 given the tough days of comparison you had, so can you comment on that, and how should we think about the trends in healthcare going into 2010, whether anything in particular or exceptional in Q4 that would imply a lower Q1 in 2010, what we could expect in theory. The second question is still on healthcare. The margins were exceptionally strong as [inaudible] like before. Anything in particular in terms of mix in Q4 with services and home health care being up and the rest down, or any particular positive impact from currency [inaudible] when it comes to their own quarter? The next question, very quickly, on Cap Ex, how should we think about the Cap Ex you’re going to spend next year?
Pierre-Jean Sivignon: Your Cap Ex question is still on healthcare or is that on the group?
[Crystal Mones] - UBS: Sorry, that’s on the group in general.
Pierre-Jean Sivignon: Healthcare top line, I think was there anything extraordinary on the top line of healthcare, no. I think it’s the representation of the backlog which has been coming in previous quarters and you have to recall that we always had in that quarter some good orders coming from emerging markets, some orders which more or less resisted as far as the rest of the world, excluding the US of course, we add the difficult situation in North America but you need now to realize, and that’s what we said in the opening speech, that 60% of the orders as far as equipment is concerned, 60% of the orders in Q4 came from out of the US, so I think it’s going to be increasingly important to disconnect a performance in healthcare from the incoming orders in that particular part of the world. I think all revenue mix is changing and it’s probably more than what you see in the overall mix of healthcare which has moved, by the way, in the quarter to 23% actually of the total healthcare revenue. So keep in mind that nothing special but a business which is gradually reducing its dependence on North America. Your second question was on the margin. Did we have anything special in the mix for healthcare? Yes, you can say that of course home healthcare and services which are higher margin of the product categories are continuing to make progress on the mix. So that is true, but that is a trend that we have illustrated and commented on in the previous call, so it was there but it’s nothing new. It’s a trend which has been there and will continue to be there. If I add one thing which helped us probably in Q4 which you have not listed is cost control. I think as you’ve seen in the rest of the Philips portfolio, we worked very, very hard in 2009 in controlling cost and that certainly impacted healthcare as it did the other sectors, but something that healthcare cost control was an important element of the success of that record margin that we reached in the fourth quarter of 2009. Moving on to your question on Cap Ex, we have promised at the beginning of the year ’09 that we would cut Cap Ex by 30% and if you look at the numbers, you will see that we’ve just about delivered that. If now you want to look at some guidance for 2010, the Cap Ex in 2010 should go a notch above the one of 2009 and there is one key reason for that which is that we might have to invest a little bit of money, in particular in the Cap Ex of Lumiled, so I would expect the Cap Ex of the company not to rebound to the level of ’08 for sure but to take the level of ’09 and to add a few tens of millions of Euros on the back of the Cap Ex activity which we will need on what’s happening right now at Lumiled. I think that was your three questions, if I’m not mistaken.
[Crystal Mones] - UBS: May I ask just a follow up very quickly on the dividend, there’s a lot of questions out there on the tax treatment, the timing on your [inaudible] share, [inaudible] cash for shares. Can you just clarify a little bit how the tax impact is going to be?
Pierre-Jean Sivignon: No, I cannot clarify. There is nothing special there. I think that the answer to your question is that it will largely depend on the particular tax profile of the investors, so I could offline, depending on particular nationalities or particular profile of investors, will be able to give you specific tax answers, but I cannot give you broad answer because each investor has a bit of a different profile from that particular angle.
Operator: Your next question comes from Oliver [Esno] – [XM].
Oliver [Esno] – [XM]: My two questions are for the [inaudible], can you talk a little bit about the pricing trends across the [inaudible] in Q4, and similarly, regarding the US healthcare [inaudible], which is in a bit of a [inaudible] area right now, what do you think would happen to your business if there is no reform, [inaudible] the excise tax would not apply, but in terms of reimbursement level, would you think that watching the [Madoff] situation for you today, is it what was in the reform or what would happen if there is no reform?
Gerard Kleisterlee: I think pricing was under pressure. I would say it was under increased pressure certainly all year long a little bit. We’ve talked about that I think just about every quarter. Was there any more pressure in Q4, less pressure in Q4 than in the past, I would say nothing particular there to report. The only thing to report is opposition of the pricing has been to obviously stand our ground. We are leaders in most of the categories we are in and yet the leader there is usually pretty much to dictate the base and the best as we’ve said in previous calls, what never lies when you talk about pricing in your gross margin. So you can see that if you look at this for the year and if you look at it for the quarter, the gross margin of Philips which is reported to you has actually made progress. If anything it has made more progress in Q4 than it has for the year, which is an illustration of the fact that yes, there was a little bit of extra pricing pressure, but we’ve been able to hold our ground in combination of course with a control of fixed costs and control of the [bit of] material. Now, as far as the healthcare reform in the US is concerned, the way we see it, we try to keep usually a bit of a cool mind. Our view is that the worst is not so much that some of the elements of the reform could be unfavorable. What is really not good is the uncertainty which is created by the fact that we don’t know what’s going to be the final outcome. So we believe that when the final outcome is actually on the table, regardless of what it is, then what is for sure that the uncertainty will come to an end and our reading of the situation essentially on the back of, in particular the age profile of the fleet which is installed in North America and on the back of the fact that at least [inaudible] a number of procedures continue to be more or less in line. We believe that the end of that uncertainty all in all should be an upside for the business in North America when you compare 2010 to 2009.
Oliver [Esno] – [XM]: Maybe just one follow up on that. I haven’t seen the number in the release but maybe can you tell us how the service business developed in the quarter maybe some indication of the US versus the international market.
Gerard Kleisterlee: The answer is good and good. Let me explain in two ways. Good because obviously it does increase in the mix in Q4. It does actually increase in the mix all through the year 2009 and you could almost see it when you look at all appendices. You will see that the service number in the mix is actually going up so that’s the best proof point, but what is even more interesting for the future is that you asked and we discussed that as well in previous calls, we are signing a lot of orders in emerging market that is something that we said in this call that we were in intermittent type of growth in emerging markets for healthcare. And you have to realize that those are new circuits in many cases or this is a service business which is incremental. This is in many, many cases a new installation, which means that the service business associated with these circuits is yet to come because we will start with warranty period and until then when the warranty is over then we will go into service. So I would say service is positive from three angles, good margin, first of all. Second of all, adding increase in the mix all through 2009 and, thirdly, I would say this would be the icing on the cake on the back of the progress we've made in emerging markets in the mix of incoming orders.
Operator: Our next question comes from Martin Wilkie - Deutsche Bank.
Martin Wilkie - Deutsche Bank: First a question on fixed cost reduction - the benefit in the fourth quarter was broadly in line with what you'd - given your ultimate Q3 but you have increased your basis for 2010 saying that you should achieve more than 700 million relative to '08. I think you said that was more than 600 at the time the Q3 [states]. So what's improved over the last quarter? If you could just give us sort of some guidance or just some summary as to why that number's increased over the quarter. And the second question is, obviously I can understand why you don’t want to attach a date to your 10 cent margin but perhaps you could just give us some sensitivity to the macro forecast. For example, if we do see very low single-digit organic sales growth over the next couple of years, how long you think it would take to get to that 10 cent margin in that sort of environment?
Gerard Kleisterlee: I think first question on fixed cost, when you launch programs of that magnitude because you have to realize the restructuring in 2008 was all in all 537 million, if I can refresh your mind. And we will have finished the year of 2009 with 450 million, so all in all it's close to 1 billion. To give you a good idea of how much we're talking for the rejection of the costs we have to give you something accurate but I would say at times as well a touch conservative so that you guys don't get disappointed. So you will see that we've done two things in that guidance on the lower fixed cost rate. There are two new things in this quarter. Number one is that, yes, we've stepped up the like-for-like cost reduction base versus '08 by indeed 100 million. It has gone from now 600 million to 700 million plus. And we've given you, as well, one thing which is important, which is a number of 173 million. So there will be incrementally an amount of 173 million of cost reduction versus the level of '08 in the first quarter of 2010. So if you multiply that 173 million mathematically by four you can already see that the 700 million for the year is largely there. So I would say more clarity on what we'd be capable to deliver. And as you've seen transparency as well on what it means specifically for the first quarter of 2010. I think those are the two elements which you have on top there. Moving to modeling, yes, I think your question is what kind of scenario would we need to get to '10? Well, I'm not going to go into this. I think we've given to you a lot of ways to do the modeling yourselves. We have obviously given to you the way the fixed cost base is being reduced quarter-by-quarter for each of the particular sectors, so you can obviously do quite a bit of modeling there and I would like to leave it at that. I think we will continue, obviously, to guide you as much as we can there. We are obviously keeping an eye on this and will see if and when the clarity gets a bit more established on markets. We'd like to do more than that but at this particular point of time I think via the various elements of the guidance in all our appendices and in our texts I think you have quite a few elements to reach your own conclusions.
Operator: Your next question comes from [Janheim Defro] - ING.
[Janheim Defro] - ING: Good morning, gentlemen. Thanks for taking my questions, first of all. Most of them have been answered. But perhaps two more add ons - could you contrast the organic growth figures between what's the old DAP and the audio VML to media peripherals business, first of all. And second, also, in terms of restocking, you indicated that the lamps business profited from the phase-out from incandescent in certain geographical areas. Is this an ongoing effect or would you call this a special case of restocking if those were the two things?
Gerard Kleisterlee: I think if we go back to the old DAP I can tell you that old DAP was old in every single category of old DAP "was in positive growth territory." I think this is probably skewed. I think it's a first quarter where the three product categories of DAP were all in the green, meaning shaving and beauty was in the green, meaning appliances were in the green and meaning, as well, health and wellness was in the green. Now, if you look at the other two categories which are in the so called non-TV portfolio, we had basically for peripherals we were still in negative growth even though the profitability continued to improve. And as far as audio video we were still in negative growth for the particular quarter. But the important news, I think, for you to know is that when you group the whole categories - now let me not go to the old DAP. Let me talk to you about a new CL without TV and I think that's really the important news of this quarter. We were in excess of 16% of margin. So I think the thing we are trying to illustrate there, maybe I’m not going to be too subtle and very open about it, we have now come out with a quarter Q4 where the adjusted margin excluding TV and including some of the ex-consumer electronics categories, namely peripherals and audio video, that whole group of products was in excess of 16% adjusted EBITDA margin for the quarter and that is a real news in itself when you compare to last year when I think it was about equivalent 8%, if my memory is correct. So you can see the progress being made there on the entirety of the non-TV and at the same time, of course, as disclosed separately, TV was in profitable territory as well. Restocking, difficult to say. We don't have, obviously, because a number of retailers is quite broad. We do not get a feeling there has been a large restocking at the end of 2009, so our feeling going into first quarter is that there is a bit of a tailwind coming from the end of Q4. So we don't get the feeling that the slight first positive growth of lifestyle, which you will remember is 1% up for the quarter, we get a feeling that we should have a little bit of a continuation of this in the first quarter of 2010. And you should keep in your mind that we will get close to important events and trust for a sense what were [stock and cap] which will take place in the second quarter.
Operator: Your next question comes from Martin Prozesky - Bernstein.
Martin Prozesky - Bernstein: Two further questions, please. The first is on the US weakness that we've seen. I mean, sales growth was I think organic minus 10. This is minus 3 overall for material markets. You've spoken about lighting and the weakness in professional Luminaires, weakness in medical and order intake. But it seems very broad-based. Can you give us indication how you see that developing in 2010 and what will be the triggers that you need to see an improvement there and maybe how the euro strength plays into that? And the second question is on home healthcare. Can you comment on the Respironics performance within the portfolio both within the US and ex-US, please?
Gerard Kleisterlee: I think you have described the situation pretty well. I will just qualify a little bit your statement on the medical. Actually, on medical the incoming orders were a negative 6% which in relative terms is a pretty different number from the one we had in the previous quarters. So it's still negative, of course, in that fourth quarter incoming orders for US equipment, but it is, of course, a bit of a different base versus the 20 plus negative growth that we had had in the previous quarters. Now, in lighting, I think you've commented on it. Yes, Prof Lum for the reasons we described, as far as lifestyle is concerned, consumer sentiment in North America, obviously, being a little bit different from the one we've seen in Europe, okay sales over the Christmas period, and in terms of visibility, difficult to say much more. The one sector that basically breached with one of the questions raised before in this call, we believe that when there is going to be some, I would say, end put to the uncertainty on the healthcare market. Our belief is that at that particular point of time, almost regardless of the results of the reform, we believe that the end of uncertainty could bring some tailwind to our healthcare business, I think at least that's the way we see that today. We believe that the uncertainty today is probably what is becoming the worst element to deal with that in that particular activity in North America. Other sectors, no real visibility, no real uptick on commercial constructions and leases and not much to say beyond what we've already put in the release. Now, to your question on home healthcare, basically Respironics did well in the fourth quarter, and let me give you a few figures. Respironics was actually was up 11% in terms of revenue in that fourth quarter. And that is obviously very encouraging news because this is basically on the back of the beginning of the impact of the new product portfolio which was introduced just a few weeks ago, so clearly we're getting some traction there and it is starting to show in the numbers.
Operator: Your next question comes from Lou [DeVictor Bayou] – Netex.
Lou [DeVictor Bayou] – Netex: Two follow ups on the saving side. You posted EUR 153 million on [inaudible] saving in Q4. Could you give us an idea of the full saving amount including the temporary one please? The second question, [inaudible] extra structural saving, do we have to expect in 2011 looking at the risk we’re creating, you will do next year, especially in the lighting division considering the longest pay back please?
Pierre-Jean Sivignon: I think you are correct to mention that in addition to a fixed cost saving, we have always been very clear that we’ve done what we call discretionary savings which impacts a certain number of cost categories that we’ve discussed on all of our previous calls. But some of these costs of course will very much be kept under tight control because we try to make those costs revenue, and we think that if and when revenue rebounds, some of those costs might come back but we will make sure that they don’t’ come back at the same level they were at before the crisis started. We won’t give you any more guidance on this because it would be almost impossible to be more specific. So I think the conclusion there if you compare from a discretionary point of view, Philips in 2010 versus Philips of 2008, you should have there as well Philips with a lower discretionary cost base for the long one versus the one we had in ‘08. I think that is as much as I can say on this particular subject. Your second question was – when we get additional restructuring and accordingly when we get additional fixed cost reduction versus the ’08 base line in the course of 2010, the answer is, let’s see when we get the extra restructuring in 2010 and let’s see what projects at the time and indeed are we capable of having them impacting the P&L as early as 2010, and I think we’ll take it from there. But I will not guide you at this particular point in time.
Operator: Your next question comes from Andrew Carter – [McCaurie].
Andrew Carter – [McCaurie]: On healthcare again, could you talk a little bit more about the emerging market growth that you’ve seen? It was I think one of the strongest quarters going back for quite some time and yet the prior comparison was very, very strong. So I was wondering if there was any sort of particular regions or products that caused that, and should we just sort of mathematically be expecting the year-over-year growth to be very strong in the coming quarters? I guess just continuing in terms of some of the trends that we’re seeing in the quarter in healthcare again, is part of the reason for the high margin to do with mix? Are we actually going to start mathematically seeing the margin come down a little bit as we see the equipment sales start to increase as we see that stabilization in North America?
Pierre-Jean Sivignon: I think your first question is related to emerging markets. I think the emerging market growth, and I will comment in incoming orders, because I think that’s really what you want to hear because that’s clearly what drives the value of the company and what clearly drives the revenue of 2010. The emerging market incoming orders growth was actually high teens in the course of this fourth quarter, which you are correct, it’s probably a bit north of what we have seen in the previous three quarters, so that it is a quarter which is particularly strong in terms of incoming orders for emerging markets. It’s coming from the countries of reference which is as usual, I think it has been China, it has been India, it has been as well the Middle East. It’s not one country in particular we’ve been making progress on the wide range of emerging market countries which obviously gives us a little bit of comfort that we’re not depending on just one country. In terms of impact on the revenue, you see already that in this quarter, healthcare had 23% of its revenue in emerging markets, compared to 17% or 18% in the previous quarter, so you can see that healthcare is making a significant swing in terms of its geographic mix quarter to quarter and this kind of trend is there to continue. The particular categories which are supporting this just to give you a little bit more flavor, cardiovascular, MR, nuc med. Those would be the kind of product categories which have supported these emerging markets trend in that fourth quarter. The next part of your question was on the margins. I think I’ll come back to what was said in an answer to a previous question, what gave the bit of extra boost to the margin in Q4 was basically – I would say two things, first increase in the mix, but that’s not new, that’s constant, increase in the mix of the higher margin category and we’ve been discussing this which are service and home healthcare, I think those are trends. This is secondly the fact that we work constantly on a certain number of productivity programs and they have been debated, particularly the capital market. I send you back to those slides, those [engines] are there. As I mentioned to a previous question, the fact that we’ve been very diligent on cost control. I think those are the three elements for having a margin which was I would say about 300 points like for like higher Q to Q. Those would be the three key drivers for that improvement in margin.
Andrew Carter – [McCaurie]: Could I just ask just an additional question, which was I think the [inaudible] circles, you said that you would come back to us to talk a little bit about the Saeco coffee machine business. I guess we haven’t really heard a great deal about that since the acquisition. Is this an opportune time for an update?
Pierre-Jean Sivignon: I think looking back at my notes, I think I would like to flag one more thing which I would refer to in the call and which you should realize. One of the key drivers of the improvement of margin of Q4 2009 was as well the improvement of our margin in imaging systems. I think you have not asked the question but I will flag it because this is of usually a product category which had been under a little pressure in terms of margin in the previous quarters but we seem to have turned a little bit of a quarter there by a certain number of actions which has taken place. We worked on the portfolio, we worked on the cost base. You’ve seen in the release that we are establishing a 100% controlled footprint in China which is part of extra measures to continue to improve our performance there, so maybe let me flag it on top of the three I mentioned, a bit of a turnaround in the profitability in the emerging systems, just to be fully complete on your questions. A quick word on Saeco. Saeco is part of the appliances business which is part of lifestyle. Saeco, just to give you some numbers, good growth in Q4. Sales which were close to 100 million and that doesn’t tell you much. What will tell you more is that those sales were actually about 5% to 6% north of the business case that we had given to our sales when we acquired the company in August. So more than the absolute euro revenue. I think what’s more relevant for you is that we are north of the business case that we have used to validate the acquisition four months ago.
Operator: Your next question comes from Phillip Scholte - Rabo Securities.
Phillip Scholte - Rabo Securities: Could you update us briefly on the situation with regards to pension costs? I haven’t been able to find it yet in the pack and could you update us on the expected cost level in the P&L for 2010, how much that will be up or down.
Gerard Kleisterlee: I think you have it in the back, but of course we have given to you quite a bit so you will see that there is a pretty build up and that is this, the pension situation on Slide 36 in the [inaudible] which I think by now is on the website, so you have full detail on the funded status of the various pension impact of course on the balance sheet which was significant, in particular the equity on the 31st of December. As far as pension costs are concerned, I think that the information I can give to you is that those costs should be more or less in line with what we’ve seen, our best guess that those costs will be more or less in line with what we’ve seen in 2009. So when you do your comps and your modeling, you should use just about similar numbers. In terms of cash outflow, it’s often asked, the cash outflow on pension is just about the regular 400 million that you see every year which is a number which has been commented as well on previous calls.
Operator: Our last question is a follow up from Andreas Willi – JP Morgan.
Andreas Willi – JP Morgan: On Europe versus the US, both in lighting and consumer, you talk about a better Europe than the US which is a big counter intuitive given the GDP numbers we are seeing. Maybe you could give us some more details then why you think that is. Is it Philips specific in terms of you are better positioned or gaining share in Europe versus the US or what is the reason for the better Europe?
Pierre-Jean Sivignon: We’re not economists. We do our best at managing the company but we certainly won’t try to predict the future. I think it’s probably a reflection of the market we’re in. You’ve seen that we talk about being a company which is basically having a more balanced product portfolio as well as in terms of geography. You’ve seen as well that we said in the release that we see ourselves as more resilient but as well more agile in terms of our capability to react but all these comments are very much specific to a portfolio where the cycle for instance of lifestyle is different from the one of lighting which is different from the one of [inaudible]. The comments we’ve made on the performance in Q4 are very much I would say specific to the Philips portfolio. As far as moving into 2010, the visibility remains limited and the only comment I will make is that we entered this Q1 with a bit of tailwind which we think we should be able to keep to some extent in this Q1 but beyond that, very difficult because visibility remains quite limited.
Andreas Willi – JP Morgan: I was more asking about the relative performance in Europe versus US, but you’re not aware that you’re like gaining share in Europe and using share in the US?
Pierre-Jean Sivignon: If it is basically in terms of share, no, but I will give you maybe one more thing because of course you could be surprised by why are you flat in Europe and minus that in the US? There is one element I which visually can change a little bit your conclusion. Don’t forget that television grew 7% this quarter and a big chunk of that TV market is in Europe. It’s actually encapsulated in the Europe numbers. We’re not in TV in the US anymore as you know, at least not directly. We’re there with a broad licensing agreement, not impacting the revenue. So you add the fact that when you compare the US versus Europe, Europe includes a good chunk of TV activity which grew 7% in the quarter. That can explain maybe some of the visual difference of spread you have between Europe and US on the back of the [inaudible] of Q4.
Operator: Thank you, Mr. Sivignon, there are no further questions. Please continue.
Pierre-Jean Sivignon: I think we want to thank you very much for your questions and I think we’ll leave it at that. Thank you for your presence and we will meet a lot of you on the road.